Operator: Good morning. And welcome to the TravelCenters Second Quarter 2018 Financial Results Conference Call. All participants will be in a listen-only mode [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions [Operator Instructions]. Please note that this event is being recorded. I would now like to turn the conference over to Katie Strohacker, Senior Director of Investor Relations. Please go ahead.
Katie Strohacker: Thank you, good morning. We will begin today’s call with remarks from TA’s Chief Executive Officer, Andy Rebholz, followed by Chief Operating Officer, Barry Richards; and Chief Financial Officer Bill Myers. We’ll also have time sell-side analysts' questions. Today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on TA’s present beliefs and expectations as of today, August 6, 2018. Forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no obligation to revise or publicly release any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC’s Web site, www.sec.gov, or by referring to the Investor Relations section of TA’s Web site at www.ta-petro.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. I’d like to remind you that the recording and retransmission of today’s conference call is prohibited without the prior written consent of TA. And finally, we will be discussing non-GAAP financial metrics during this call including EBITDA, adjusted EBITDA and adjusted net loss, a reconciliation of these non-GAAP figures to net loss are available in our press release. And with that, I’ll turn the call over to you, Andy.
Andy Rebholz: Thank you, Katie. Good morning, welcome everybody. Earlier this morning, we reported our financial results for the second quarter of 2018, which included a net loss of $33.9 million or $0.85 per share and EBITDA of $45.3 million. This compares to a net loss of $2.9 million or $0.08 per share, and EBITDA of $31.2 million for the second quarter of last year. The non-GAAP financial measures provided in this morning’s press release should help you compare performance between the 2018 and 2017 periods without the effects of certain notable items. For the second quarter, these measures included adjusted net loss of $2.4 million or $0.05 per share and adjusted EBTIDA of $36.3 million compared to an adjusted net income of $405,000 or $0.01 per share and adjusted EBITDA of $36.6 million for the 2017 second quarter. Among the unusual items we adjusted out in the 2018 measures was an expense charge to impair goodwill and our convenient store segment of $51.5 million or approximately $0.97 per share after the tax effect. Bill will discuss the impairment in more depth in a few minutes, but generally speaking this impairment formalizes what has been born out in our convenient store segment results over the past several quarters. That the results to date from those sites have not met our expectations. Other notable items in the 2018 second quarter were a $10.1 million reduction to selling general and administrative expense resulting from the court ruling in our litigation with Comdata and $1.8 million of extra cash and share based compensation expense related to our retirement agreement with our former CEO. In the 2017 quarter, notable items included excess expenses related to the pending dispute with Comdata including $2.5 million of litigation expense and $2.8 million of excess transaction fees. The change in adjusted EBITDA amounts for the second quarter improved slightly compared to the change in adjusted result, EBITDA results reported in the first quarter and we were pleased to see several positive signs that our business plans continue to gain traction. First, the same side fuel volume change of negative 1% this quarter was inline with last quarter’s same side change despite continued fuel efficiency and competitive headwinds that are occurring. To provide some context around this result, year-to-date this time last year our same side fuel volume was down about 4.5%, while year-to-date this year same side fuel volume was down nine-tenths of a percent. This improvement is due to a stronger freight environment that has led to increased demand for fuel and due to our fuel purchasing and pricing efforts and marketing strategies. Second, same side nonfuel revenue increased 3% while same side nonfuel margin increased 4.7%. Our travel center nonfuel revenues increased 5.5% primarily due to a 4.3% increase on a same side basis. Our efforts to expand TA’s truck service programs and certain other marketing programs were productive. These programs improved in already strong nonfuel gross margin percentage which increased 100 basis points on a consolidated basis this quarter. Third, on a consolidated basis, we saw increases compared to the prior year of 5.3% in total tier unit sales, 49.5% in onsite mobile maintenance work orders of 6.8% in RoadSquad work orders and a 58.5% in Reserve-It! parking reservations revenues. Fourth, our site level operating expense as a percentage of nonfuel revenues for same sites improved by 130 basis points inspite of rising labor market. The new restaurant management software installed as part of the multiyear project is allowing our managers to better forecast sales and schedule staff accordingly. We saved approximately $700,000 compared to the same period last year, primarily as a result of implementing that IT applicant -- IT application combined with closing restaurants during unproductive hours. We’re also seeing some savings from the site accounting function centralization project I discussed last quarter. For the second quarter, this initiative generated savings in site level operating expenses of $359,000 and cost us about $299,000 in SG&A expense as we build out the corporate accounting function to take over these site activities. By June 30, we were about 36% complete on a site count basis with this project, which we expect will generate net annual cost savings of approximately $6.5 million when fully implemented. Keep in mind that for the 36% or 82 sites, the project completed at varying points during the first and second quarters. For our standalone convenience stores, we saw a slight improvement in site level performance this quarter relative to last. Site level gross margin in excess of site level operating expenses declined 1.9% year-over-year in the second quarter, compared to a decline of 8.4% year-over-year in the first quarter. The decline this quarter was due primarily to the decline in fuel gross margin and an increase in credit card transaction fees that impacts site level operating expenses, and which resulted from the significant increase in fuel prices since last year's quarter. The improvement in site level gross margin performance relative to last quarter was due to better management of operating expenses. Competitive headwinds in particular at our standalone convenience stores are still a hurdle. Since June of 2017, 26 of our stores have had a new competitor enter the market and the declines of those stores accounted for approximately 41%, 49% and 100% respectively of the declines for the entire segment in fuel sales volume, nonfuel revenues and site level gross margin in excess of site level operating expenses. Among the things we have been doing to combat this competition and improve results at these and all of our convenience stores, in early July, we introduced the Minit Mart, GoGo Rewards loyalty program. Implementation began at 36 sites in Kentucky, and we will complete the rollout market by market during the third quarter. Barry will discuss this in more detail in a moment, but preliminary signs are positive. Whether this will be enough to improve the performance and returns associated with our investment in these stores, to a point that warrants continuing with the current strategy remains a question that I'm confident will be answered in a reasonable period of time. The net result from the highlights and headwinds that are affecting our results continue to lead me to believe that we remain on track to post increases in adjusted net income and adjusted EBITDA in 2018 compared to 2017. Looking ahead, we’ll continue with our current business plans to make the most of our existing sites through initiatives such as our commercial tire network, on-site mobile maintenance, and RoadSquad roadside assistance and call-center programs, and completing the rollout of the GoGo Rewards loyalty program at our Minit Mart stores. In addition, we believe, we also have opportunities to expand our travel center network. We believe now is the time to do so and we’ve commenced the plan to do so. For some time, many of our traditional customers have told us that additional volume could be funneled to our brand if our site network were expanded in certain corridors. Further, as the maturation of online spending continues, trucking and freight delivery are evolving, new distribution centers are being built and freight patterns are changing, in many cases, requiring our presence on state highways and secondary routes instead of solely on the interstate highways, as has been our practice historically. In many cases, we recognize that the secondary routes don't always warrants or even accommodate a large-format full-service TA or petro travel center. As the logistics and transportation infrastructure and processes continue to evolve, we realize that a larger network including some smaller sites may be what will be needed to continue to be a relevant supplier to the trucking companies, who themselves are changing to meet today's regional distribution center opportunities or down the road, the electric or autonomous trucking opportunities so that they remain relevant to their shipper customers. This all has led us to develop a smaller format truck stop concept, called TA Express that we believe is responsive to this potential future world. TA Express generally will offer many of the services and amenities we typically offer at our large-format full-service travel centers, and that our customers have come to know and prefer, but within a smaller physical footprint that typically will exclude a sit down table service restaurant. One of the reasons that expansion of our travel center network slowed so much in the past two years is the relative lack near interstate highways of 20 to 25 acre land parcels and/or large full-service travel centers available for sale. Introduction of TA Express enables us to revisit those areas where we have portfolio gaps and attempt to fill those gaps through acquisitions, franchising or development. We have done little in the franchising arena in the last several years, but we believe that our reenergized franchising program and our introduction of TA Express can be great avenues to grow site count, better serve our trucking customers and growth TA's EBITDA and free cash flow with a much smaller investment than is required for our typical large-format company operated travel centers. We will have more to report on these funds in coming quarters as we have only recently commenced these initiatives, but we are excited for the potential they hold. And now, Barry will provide some color regarding our operations.
Barry Richards: Thanks, Andy and good morning, everybody. We continue to see positive signs from our TravelCenters segment operations this quarter, strong freight trends and ramp up from newly acquired sites which led overall travel center volumes to increase modestly. Our efforts to sell more combined services were successful this quarter. We experienced outsized growth related to our key aggregator accounts which in total are reaching new volume and truck service highs. This quarter, fuel sales volume with our top six aggregator accounts was up nearly 8% and truck service sales were very strong, increasing by 16% versus prior year quarter. More and more smaller businesses had previously purchased fuel, truck services and tires at street prices and are seeking ways to reduce cost so they can be as competitive as possible when competing for bids against larger fleets. Fuel efficiency and increased competition continued the headwinds and this impacted same side travel center segment volumes, which were down approximately 1%. Fuel gross margins declined $2.3 million, or 3% due to TA's travel center loyalty program having a larger impact on fuel gross margin in the 2018 second quarter by approximately a penny. Our purchasing efforts helped offset certain headwinds this quarter. We continue to focus on the products and solutions that can best help customers today and indirectly, the loss of these headwinds. For us, this means expanding our universe of customers to homely [ph] market marketing more deeply to existing customers. Regarding our efforts to market a broader array of our products and services to our existing customers, we gained traction during this quarter. Looking at our on-site truck service program, as Andy just mentioned, our work orders were up 49.5% versus second quarter 2017 and acceleration from the strong growth experience last quarter. We added 18 on-site trucks in the second quarter, bringing our total to 161. Importantly, our operating margin percentage increased significantly relative to last quarter's demand for these services is attracting new customers. This is helping us grow revenues faster than site level operating expenses. And other examples are RoadSquad call-center business, which added six-week customers during the quarter, bringing the total to nearly 100. These additions were primarily due to customers who see the value and outsourcing certain emergency repair and call-center support, so they can devote resources for their core business. Our efforts to expand TA’s customer base also continued successfully and we’re seeing good sales of truck service solutions to non-traditional customers, for example, TA’s commercial tire network program. In Mid-July, we opened TA’s rethread center in Bowling Green, Ohio where we provide a full line of Goodyear commercial tire retread products to fleets, local industries and a new customer segment for us tire dealers. Rethreading is a common component of tire dealer businesses and having this, we believe fills a gap in our commercial tire program and it opens up new customer segments. In just a few weeks, we landed multiple customer agreements with annual demand potential for thousands of rethread units including with multiple tire dealers, and we are in active discussions with others about conducting their business with TA’s commercial tire network. Looking at our TA Restaurant group, our efforts to rationalize our full service key offering continues. For the second quarter, we have three casual dining restaurants that were closed due to rebranding or conversions to QSRs. These efforts continue to weigh on nonfuel revenues and nonfuel gross margin, which were down 5.6% and 4.9% respectively year-over-year in the second quarter. The actions we’ve taking reduce labor expense and other operating expenses for the same period by 6.1% and 5.6%, respectively, and as Andy noted earlier, this has helped to improve our racial site level operating expenses to nonfuel revenues. EBITDA overall for a full service restaurant increased. Regarding our Minit Mark standalone convenience stores, we saw declines in our fuel volume and nonfuel revenues this quarter due to the closure of three stores whose leases we opted not to renew, and due to increased competition associated with our same site stores. We managed to generate a similar level of nonfuel gross margin due to a retail pricing management and shifting our sales to a higher mix of prepared food and carwash sales. For our convenience store segment, in early July, we introduced the Minit Mart, GoGo Rewards loyalty program to an initial 36 Minit Mart stores. This program will provide members with access to earn or redeem points for store merchandise in almost 300 Minit Mart stores which will allow certain redemptions at the pump, and will include a broad club program and sweepstakes. We roll out a scheduled in phases by fuel brand and will be completed in September. Early indicators have been positive. We’ve distributed over 25,000 cards and have surpassed expectations for the number of customers who register their cards and to whom we’re actively marketing and tracking data today. In the first few weeks since the program has gone live, we’ve seen a 5% lift in nonfuel sales when comparing July’s performance at these stores with the same days a year. Our average transaction size for customers using the new rewards card is nearly twice the total of non-loyalty transactions. Further, we’re seeing great redemption rates for our clubs and points. And now I'll turn the call over to Bill for his remarks.
Bill Myers: Thank you, Barry and good morning everyone. Before I discuss our results, I’d first wanted to remind you that in the first quarter of 2018 we adopted a new revenue recognition standard, which, among other things, required us to reclassify the discounts related to certain loyalty program awards from nonfuel revenue to fuel revenue. In our financial statements for the second quarter of 2017, we’ve reclassified $14 million of discounts from nonfuel revenue to fuel revenue, which decreased our fuel gross margin by 2.6 cents per gallon, but increased our nonfuel gross margin by 110 basis points, both compared to what we reported in the prior year. We've included in this morning's press release, a supplement that identifies the impact this new accounting standard has on our fuel and nonfuel revenues as well as fuel gross margin cents per gallon and nonfuel gross margin percentage for the years ended 2017 and 2016 as well as by quarter for those years. As a reminder, adopting this new standard affected both, fuel and nonfuel gross margin by the same amounts, but had nearly no effect on our total gross margin. From a consolidated perspective, we had a net loss of $33.9 million, or $0.85 per share compared to a net loss of $2.9 million or $0.08 per share. Impacting the results for the second quarter were certain one-time items such as the $51.5 million goodwill impairment Andy mentioned earlier. $10.6 million of Comdata legal expense reimbursements and the related interest and incremental share-based compensation expense tied to executive officer retirements totaling $1 million that when combined and excluded, resulted in an adjusted net loss of $2.4 million. Comdata did not appeal the final ruling in our litigation with them which will eliminate unusual amounts related to this litigation for any future periods. Adjusted EBITDA decreased by $314,000 in the 2018 second quarter as site level results improved, but were slightly outstripped by increases in selling, general and administrative expenses and rent expense and a decline in equity investments. Selling, general and administrative expenses excluding unusual items in both periods were $3.3 million higher in the second quarter 2018 primarily due to a $1.4 million increase in legal costs and $752,000 of expense related to the cash payment component of the retirement agreement with our former Chief Executive Officer. The remainder of the increase generally is from salary increases in additional personnel such as those related to the site accounting centralization initiative Andy mentioned earlier. Depreciation expense increased $1.3 million primarily resulting from locations we've acquired and other capital investments. We've recognized a goodwill impairment charge of $51.5 million during the second quarter in our convenience store segment. The impairment charge reflects the amount by which the carrying value of the segment exceeded its estimated fair value. The assessment of goodwill that led up to this charge is primarily due to the results of the segment failing to meet our projections in connection with the convenience store acquisitions completed in 2013 through 2016, as well as changes in certain assumptions that affect the business valuation including an increase in the discount rate applied in the assessment. Now, we'll take you to the results of our two segments. In our travel center segment fuel sales volume increased by 17,000 gallons and same site fuel volumes decreased by 4.5 million gallons or 1% primarily due to the continued effects of fuel efficiency gains and increased competition partially offset by TA's fuel pricing and marketing strategies. Fuel gross margin decrease by $2.3 million due to the volume declined and TA's loyalty program having a larger impact on fuel gross margin in the 2018 second quarter than it did in the 2017 second quarter. As Andy mentioned nonfuel revenues for travel centers grew 5.5% in the 2018 second quarter as compared to the 2017 second quarter primarily due to a 4.3% increase on a same site basis that resulted from growth in TA's truck service program and the positive impact of certain of TA's marketing initiatives. Nonfuel gross margin percentage in the 2018 second quarter with 60.8% compared to 60.1% in the 2017 second quarter. Of the $17.5 million increase in nonfuel gross margin this quarter, truck service contributed almost $6 million largely due to the expansion of programs that are ongoing. Truck service nonfuel gross margin percentage increase to 57.9% in the 2018 second quarter compared to 56.9% in the 2017 second quarter. Site level gross margin in excess of site level operating expenses increased in the 2018 second quarter by $10.3 million or 8.4% as compared to the 2017 second quarter due to an increase in same sites. In the convenience store segment fuel sales volume decreased by 1.2 million gallons or 1.9% primarily due to increased competition, as Barry noted a moment ago, fuel gross margin decreased by $700,000 or 4.5% primarily as a result of the decline in fuel sales volume. Non-fuel revenues decreased by $2.3 million or 3.2% in the 2018 second quarter versus the prior year primarily due to a decrease in nonfuel revenues on the same site basis. Nonfuel gross margin decreased by $184,000 or 0.7% from the 2000 second quarter, nonfuel gross margin percentage was 35.8% in the 2018 second quarter as compared to 34.9% in the 2017 second quarter. The increase in nonfuel gross margin percentage was primarily the result of a change in the mix of products sold. Site level gross margin in excess of site level operating expenses decreased in the 2018 second quarter by approximately $200,000 or 1.9% as compared to the 2017 second quarter due to a decrease on the same site basis and the closing of three lease sites where we did not renew the leases. Turning to our liquidity and investment matters, at June 30 our cash balance was $78.2 million and we had approximately $116 million available under our revolving credit facility. We owned 31 travel centers, 198 standalone convenience stores and seven standalone restaurants that are unencumbered by debt. During the quarter we invested $43.2 million of capital expenditures and sold $15.7 million of site improvements to HPT. Our 2018 capital investment plan contemplates approximately $150 million of capital expenditures which includes approximately $55 million of sustaining capital investments and the sale-leaseback of approximately $50 million of site improvements to HPT. That concludes our prepared remarks. Operator, we are now ready to take questions.
Operator: We will now begin the question and answer session. [Operator Instructions]. The first question comes from Bryan Maher at B. Riley FBR. Please go ahead.
Bryan Maher: Good morning. Just to clarify the CapEx real quick. I think you said the 115 with 55 and 50 going to HPT. Is that right?
Bill Myers: No. It was 150.
Bryan Maher: And so, where's the rest going?
Bill Myers: The rest of the 150 after the 55 that's sustaining would be going to either growth projects at existing sites or in certain acquisitions of new sites like the retread center would fall into that category. In the growth projects that would be things like adding the on-site and RoadSquad truck, these restaurant, conversions and rebrandings we've talked about, things like that.
Bryan Maher: Okay. And then on the tire retreading acquisition that you made, are you just putting your toe in the water there? Or do you think you're going to expand that to other acquisitions of tire retreading centers around the country? Or is one enough to satisfy your needs? How are you thinking about that business?
Andy Rebholz: Yes. I think that it's probably fair to characterize it as a dipping our toe into the water little bit. It's a related but different for us, from what we've done historically. I mean it add our travel centers, we always sold retread tires and things like that, but the actual retreading of them is new for us and as Barry mentioned, it brings us – we believe it will bring us the benefits of new customer segment because there are certain trucking companies that the way they manage their tires they like to buy a new tire and retread it. How many times it can be retread? Normally around two or three and have control of that tire throughout and that's something we've been unable to offer to customers to-date. So we're trying this and thus far the results are positive and give us hope if you for how will go. Assuming that that goes well, yes, this one retread facility is certainly not sufficient to cover the country for us. I think we can supply tires from this facility to all of our sites that are in about a 100 or 150 mile radius from that site, but yes if it goes well I think we would be planning to open up more of them in the future.
Bryan Maher: And what percentage of the tires that you sell has historically been retread? And what is the discounted price as those relative to new tires?
Andy Rebholz: I don't have the handle on the percentage, but you can expect most trailers that you see on highway today are running on retreaded tires.
Bryan Maher: So it's substantial?
Andy Rebholz: It is.
Bryan Maher: Can we move over and talk about labor cost for a minute with the tightened employment out there. What are you seeing kind of on same site labor cost? And then as you continue to rollout the accounting initiative moving it kind from site level to corporate, do you expect kind of a commence rate reduction in site level employment for people who are handling that accounting before?
Andy Rebholz: Couple of things in there and I'll take the last first and then maybe let Barry talk specifically to what we're seeing in some of the site labor cost pressure if you will. But with regard to the site level accounting function centralization, at our travel centers we have at each site person or people that perform certain accounting functions, those functions are being centralized to headquarter, so we'll be adding some people, 15 or 18 whatever the number is, people at headquarters to do that work and eliminating these 200 something positions across the country at all the sites. Now the actual human beings current in those positions, may well be transferred into other rules at the sites or elsewhere. But the net result will be a savings of that net 6.5 million. To remember that at the sites with the hourly staff at the sites I mean, turnover is in that 100% range. So, I think a lot of that savings other than eliminating the position org chart if you will comes kind of through attrition at some point. But do you want to go ahead Barry?
Barry Richards: Sure. Yes. So far we've done a pretty good job of holding our ratios steady, but the pressures we're seen out there are many, if it where from -- anywhere from paid sick leave, obviously minimum wage increases are going into effect, elimination tip credit laws in many states and as you alluded to the tight labor market is all something that we're having to manage at sites.
Bryan Maher: You put a percentage on the expected range of site level, labor cost increases. Is it 2%, 3%, 4%?
Barry Richards: I don't know that I have that one with detail. Do you?
Bill Myers: Yes. I think that's probably though far year to-date 2018 versus 2017 on a same site basis total labor costs, and that kind of the wages part of it which is thing most directly affected by the minimum wage and the other pressures and those sorts of things, but also has included all the benefits and payroll taxes and that kind of stuff. And frankly what also be affected by the change in the level of business. As we've talked in the past if we're growing the truck service business or the restaurant business to a lesser extent the store business, it takes more people to support that growth. So this percentage I'm about to say covers all of that and for the six months our same site labor is up 1.2%.
Bryan Maher: Great. And then just lastly from me for Andy, with the C Store decision on kind of fish or cut bait on that business and I know that you want to see how Gogo runs out. Do you think you'll be making that decision in a matter of quarters? Or is it going to be a year or more before you make that decision?
Andy Rebholz: No. I think its closer to the former than the latter that that we'll be able to tell where we're headed.
Bryan Maher: Okay. Thanks. That's all from me.
Andy Rebholz: Thanks, Bryan.
Operator: The next question comes from Steve Dyer of Craig-Hallum. Please go ahead.
Steve Dyer: If you could share what you're seeing on gross profit per gallon in July and maybe how we should think about that in Q3 relative to Q2?
Andy Rebholz: Yes. I think that what we're seeing so far on the margin in July is fairly similar to what we saw in the second quarter. I think that the -- when you're comparing to the prior year month in this case or eventually for the whole quarter, it's going to continue if things continue the way they've been with a rising fuel cost environment this year whereas last year that had not been the case, so it is a tougher purchasing environment this year than in the past. And that's one reason that the margin per gallon has probably suffered a little bit relative to the prior year period. And I know that others in our industry are reporting that same effect. I would expect that that same general relationship will continue to exist here in the third quarter, of course soon as I say that something crazy could happen with crude oil and all bets are off, but I think that right now what we're seeing is a continuation of the same.
Steve Dyer: So, would you anticipate Q3 to get tougher as we go or sort of at the margin be similar to Q2?
Andy Rebholz: My feeling is more the similar as opposed to getting tougher as we go -- more just I think really more of the same, again, if prices start to skyrocket then it would be tougher, but if things in that market softened a bit then it could become bit easier for us. But the way it looks now, the way it's been through July I think is just – it's more of the same.
Steve Dyer: Okay. And then, the new TA express concept I think is interesting, how should we, I guess, think about that opportunity? And then maybe whether it would be that or something else maybe a targeted mix between franchise and company on locations looking out a couple of years?
Andy Rebholz: We really -- it's very early for us in this process. We don't have any hard and fast either expectations or targets on how many sites we will add and what percentage of those would be company operated versus franchise operated. I think that as a management team and of the Board of Directors we were looking at what was going on in the truck stop travel center industry where we have two other big players who both been growing faster than we have over the past few years. And things we -- conversations we have with the fleet customers and an otherwise, we recognize that we need to continue to grow that part of our business. I think we've recognized that historically with this company franchising has been a part of that, but it's not been a part of that in the more recent history of the company. And there are many well-run independently owned and operated travel centers out there across the country that maybe we would love to own, but they're not interested to not own themselves and aligning our brands with such good operators we see as good for us and good for them. We think that that can help our customers and frankly help our investors, help our bottom-line results. We do have a desire to operate sites, but we recognize that just not always possible. The two things together the way I see it, I mean it's not like the TA express concept can only work with franchising and it's not like franchising can only work with TA express, but I think really those are two prongs of the strategy that we've been developing here that two go well together and I think either of and both of them can help us grow our business in a real way over time. So we've had – I can say it's very early, but we've been out there talking to folks about both franchising and acquisitions and it's got some people around here energized to start growing the network again.
Steve Dyer: Great. Thank you.
Andy Rebholz: Thanks, Steve.
Operator: The next question comes from Ben Brownlow at Raymond James. Please go ahead.
Ben Brownlow: Hi, Good morning. Just following up on the last question, not thinking I guess longer term but just over the next six to nine months on the TA express format. Is anything you can give us, I mean, should we think of this as a one store prototype over the remainder of this year or is it two to three stores? Any sort of initial CapEx range, ROIC targeting, anything that you can give us?
Andy Rebholz: I think, Ben, that a -- couple of things. I mean, we are – we have developed and are probably still -- probably its fair to say fine tuning that that prototype. And our in search of parcel or parcels where we can build and test out that prototype. But in the immediate term I think the first TA express branded locations that we'll have will be sites that we currently own and operate that are of the type or have the characteristics that we can see moving forward. They are some of our smaller sites from an acreage perspective, don't have sitdown restaurants, in some cases have the truck repair and in some cases don't. And I think the first four of those will be happening sometime here in the next few months. And frankly one of those is currently branded a TA. Two of them were -- one of the acquisitions we did a few years ago of three sites, these two sites were at the time we said, hey, they're too small to be a TA. So we branded them as Minit Mart convenience stores, the two Minit Mart that are in Colorado. And now we're going to take them back the other way. They had been small truck stops and they will again be small truck stops. The fourth site is a site that we acquired a few years ago and just for a variety of reasons it hadn't been branded anything other than the brand when we bought it. And we'll be rebranding that one. After those four, I mean, there really are another, I think the number is somewhere in the five to 10 range, but I don't remember for certain anymore. Sites that we currently own and operate that kind of fall within the parameters size wise and amenities wise to be a TA express and we'll see moving forward how we go on the rebranding of any or all of those. I mean from a return perspective, I think it's – we're not really prepared to say the percentage, the cost of again either building or acquiring a site this size and these sort of characteristics is going to be much less than what it takes to build of a new large format full service travel center and frankly the return we think will be very positive. I mean, when we look back at the acquisitions of truck starts that we've done since 2011 when we started kind of getting back on the acquisition trail, kind of when you look at the third year EBITDA at those sites that we acquired compared to what we paid for them. You know we kind of had an average of roughly an 18% return. And that makes sense, given what are our targets or goals historically have been for doing those kinds of projects. And those targets or goals aren’t going to change going forward.
Ben Brownlow: Okay, thanks for the color. And on the loyalty program, you gave several initial data points around that, I know it’s early, but those 36 sites in Kentucky. Did I hear correctly that they had a 5% lift in the nonfuel same store sales, and if so can you give us just kind of the same store sales for July for the C store chain?
Andy Rebholz: You definitely heard correctly, that what we've seen in those roughly three weeks of results was a 5% lift in the -- in the inside sales. I don't -- frankly, we don't yet have the final information for July on that, but I'm -- I'm fairly certain that the same-store sales for the month of July at the other C stores that aren’t those 38 was not 5%.
Ben Brownlow: All right. That’s helpful. Thank you. And one last one from me, on the casual restaurant conversions, I think you said three in the second quarter. What does that bring the number to year-to-date? Are you still targeting 15 for this full year and are you still seeing that kind of 10% revenue lift from those conversions?
Andy Rebholz: Yes, the target remains the same. We’re on track to complete those. And yes, we are seeing a revenue lift hit the conversions.
Ben Brownlow: Okay, and how many were converted in the first quarter?
Andy Rebholz: I don't know, I don't have it in front of me, I’m sorry.
Ben Brownlow: All right. Great. Thanks guys.
Andy Rebholz: Thanks, Ben.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Andy Rebholz for any closing remarks.
Andy Rebholz: Thank you. Again, I thank everybody for joining us today and for your interest in TA. Take care.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.